Operator: Good afternoon, everyone, and thank you for participating in today's Conference Call to Discuss iPower's Financial Results for its Fiscal First Quarter 2025 Ended September 30, 2024. Joining us today are iPower's Chairman and CEO, Mr. Lawrence Tan; and the Company's CFO, Mr. Kevin Vassily. Mr. Vassily, please go ahead.
Kevin Vassily: Thank you, Liz. Good afternoon, everyone. By now, everyone should have access to our fiscal first quarter 2025 earnings press release, which was issued earlier today at approximately 4:05 p.m. Eastern Time. The release is available in the Investor Relations section of our website at meetipower.com. This call will also be available for webcast replay on our website. Following our prepared remarks, we'll open the call for your questions. Before I introduce Lawrence, I'd like to remind listeners that certain comments made on this conference call and webcast are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. Forward-looking statements are neither historical facts nor assurances of future performance. Instead, they are based on our current beliefs, expectations and assumptions regarding the future of our business, future plans and strategies, projections, anticipated events and trends, the state of the economy and other future conditions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict, and many of which are outside our control. Our actual results and financial condition may differ materially from those indicated in these forward-looking statements. These forward-looking statements are also subject to other risks and uncertainties that are described from time to time in the Company's filings with the SEC, including our annual report on Form 10-Ks, which was filed with the SEC today, November 14, 2024. Do not place undue reliance on any forward-looking statements, which are being made only as of this date. Except as required by law, the Company undertakes no obligation to revise or publicly release the results of any revision to forward-looking statements. With that, I'd now like to turn the call over to iPower’s Chairman and CEO, Lawrence Tan. Lawrence?
Lawrence Tan: Thank you, Kevin, and good afternoon, everyone. We maintained a solid momentum in the third quarter, while continuing to refine our cost structure, leading to year over year gross margin expansion and a reduction in operating expenses. Additionally, we made progress in expanding our SuperSuite supply chain platform. By onboarding key partners across the supply chain, we are enhancing our service capabilities, positioning SuperSuite as an increasingly valuable solution for our partners. We also broadened our sales reach by launching on AliExpress and further strengthened our presence on newer platforms such as TikTok Shop and Temu, aligning our offerings with a diverse and expanding customer base. In our SuperSuite business, we continued to work through a robust pipeline of prospective partners, integrating essential components across sales channels, marketing, merchandising, logistics, technology and data analytics to enhance our comprehensive service offerings. By adding these components, SuperSuite is equipped to address today's complex supply chain needs with a seamless end to end solution for e commerce, supply chain management and logistics. We are committed to strengthening each segment in the supply chain sales, enabling our partner to navigate to market needs, scale effectively and better serve their customers. At the end of the quarter, we launched our SuperSuite supplier online platform, which is designed to optimize supplier interactions, streamline operational workflow and better align our partners with evolving market demand. This platform enables suppliers to gain valuable data insight, access multiple sales channels, submit product offers, optimize shipments and collaborate on merchandising plans, among other key features. This SaaS platform represents a transformative step in unlocking SuperSuite's full potential, enabling more seamless and impactful engagement between our suppliers, our team and our clients. As I mentioned earlier, we continued to expand our sales channel by launching on AliExpress, granting our supply chain partner access to another major U.S. marketplace. AliExpress joins our growing list of U.S. Sales channels, which includes platforms such as Amazon Vendor, Amazon 3P, Walmart.com, Temu, TikTok Shop and several others. We are committed to offering a robust multichannel solution that enables our partners to reach U.S. consumers more effectively and efficiently. Launching sales on AliExpress further underscores our dedication to enhancing market access and driving value across our entire platform. We continue to benefit from the optimizing initiatives implemented last fiscal year, which led to gross margin expansion and lower operating expenses for the quarter. We are also benefiting from a healthier supply chain environment and no longer need to maintain elevated inventory levels as lead times with our international suppliers have normalized. It's also worth noting that with the growth of the SuperSuite, we can operate our business with a lower level of inventories, leading to improve the cash flow generation. As of September 30, 2024, we've reduced our inventory levels by approximately 18% compared to June 30, 2024. As we mentioned before, we are firmly committed to optimizing our operations to maximize efficiency. To further this effort, we diversified our manufacturing base with a new partner in Vietnam, strengthening the resilience of our supply chain for both customers and partners. In September, we completed our first purchase order shipment from this new manufacturer, marking a significant milestone in our ongoing strategy to diversify our supply chain. As products begin to arrive in the U.S. and commence sales, we anticipate benefiting from reduced production and logistics expense. These lowered costs will enable us to offer more competitive pricing, while improving margins, an essential factor for long-term sustainable growth. Looking ahead, we will continue to bolster each aspect of SuperSuite platform to provide a market-leading solution that meets the evolving needs of e-commerce, supply chain management and logistics. By strengthening these areas, we are not only driving efficiencies, but also building a more resilient infrastructure that can adapt to market changes and support scalable growth. This holistic approach positions us to better serve our partners' need from inventory optimization to faster, more reliable fulfillment, further solidifying our roles as a leader in e-commerce and supply chain innovation. I will now turn the call over to our CFO, Kevin Vassily, to take you through our financial results in more detail. Kevin?
Kevin Vassily: Thanks, Lawrence. Unless referenced otherwise, all variance commentary is comparison to the year ago quarter. Total revenue in the first fiscal quarter was $19 million compared to $26.5 million. The decrease was driven primarily by higher promotional activity in the year ago period related to selling down inventory. This was partially offset by growth in our SuperSuite supply chain offerings. Gross profit in the fiscal first quarter of 2025 was $8.5 million, compared to $11.8 million in the same quarter of fiscal 2024. As a percentage of revenue, gross margin increased 30 basis points to 44.7% compared to 44.4% in the year ago period. The increase in gross margin was primarily driven by improved pricing through key supplier negotiations and optimizations. Total operating expenses for fiscal Q1 improved 14% to $11.2 million as compared to $13 million for the same period in fiscal 2024. The decrease in operating expenses was driven primarily by lower selling and fulfillment expenses, resulting from a combination of lower marketing and promotional activity. This was partially offset by approximately $1.8 million in write downs of certain inventory and credit loss reserves. Net loss attributable to iPower in the first quarter was $2 million or $0.06 per share compared to net loss attributable to iPower of $1.3 million or $0.04 per share in the same period of fiscal 2024. Moving to the balance sheet. Cash and cash equivalents were $2.6 million as of September 30, 2024 compared to $7.4 million at June 30, 2024. Total debt was reduced by 45% to $3.5 million as compared to $6.3 million as of June 30, 2024. Yesterday, we announced the renewal of our secured revolving credit facility with JPMorgan Chase, extending the maturity by three years to November 2027. The new facility has a revolving commitment of $15 million with an accordion feature that would allow us to obtain additional lender commitments of up to $40 million. Under new agreement, the interest on borrowing will be SOFR plus 2.25 to 2.5. We're pleased with the vote of confidence from a leading institution like JPMorgan Chase and look forward to growing our partnership as we execute on our goals. As Lawrence mentioned earlier, the work we've put in to optimize our cost structure is starting to bear fruit. It's reflected in this year's or this quarter's year over year gross margin expansion and reduction in operating expenses. We've also made further improvements to our balance sheet as we reduced our total debt obligations by nearly $3 million in this fiscal first quarter, in addition to our recently extended credit facility with JPMorgan Chase. We believe these actions combined with continued growth of our SuperSuite business and optimized cost structure will enable us to deliver on our goals for fiscal 2025. With that, this concludes our prepared remarks. We'll now open it for questions.
Operator: [Operator Instructions] Our first question comes from Thierry Wuilloud with Water Tower Research.
Thierry Wuilloud: Yes, good afternoon. Maybe let me start with a couple of housekeeping items. You had some service income and service expenses. Can you give us some information as to what's that related to?
Kevin Vassily: Sure. So, we've got as part of SuperSuite kind of two components of the business. One is kind of our resale or wholesale agreements we have on the sales side with partners and the other are fee for service related business lines. So, the service fees are part of that fee for service business line. And because it was, I think, materially enough as part of the overall revenue, we decided to disclose that piece.
Thierry Wuilloud: Okay. That's great. Yes, looking forward to seeing that number progress. The other household item was you had a $1.8 million inventory write down. Does that go through the income statement? Or is it just a balance sheet adjustment?
Kevin Vassily: Yes. That goes through the income statement. So, of the roughly 2.7%, I think that was in kind of operating loss, 1.8 of it was related to the write downs.
Thierry Wuilloud: Okay, great. If we look at the top line, it feels like you're kind of in the same range as you were in the last quarter. Are we -- is that kind of a baseline we should think of going forward? Or you had some quarters where the top line was affected by different inventory strategies from your main online partner? Can you give us some color on, again, are we at a baseline there of $19 million a quarter, or how should we think of it going forward?
Kevin Vassily: Yes. So, I think it's a good question. I think that's probably close to being a baseline. I think, you’ve kind of rightly pointed out, our December quarter last year was extraordinarily kind of seasonal relative to historical patterns. And so, we're, at least so far, not seeing that type of activity. We're only about halfway through the quarter at this point. So, we don't, at least now expect to see the same type of kind of seasonal downtrend. I think the other thing to point out here too is, well, a couple of things. One, in comparison to last year, last year was an extraordinarily strong quarter, but I think it was impacted by pretty active promotional work that we did to move inventory so that we could get through kind of the last stages of the high-cost inventory from that prior inventory buildup, one. Two, we -- as Lawrence was pointing out, have been in the process of negotiating with our supply chain, looking for more efficient manufacturing partners. And as part of that transition, we saw some delays in getting product over the summer. And so, that had a bit of a dampening effect on the top-line. There was demand. We just didn't have enough product to do that. We're through that transition, and we believe it will no longer be a drag in the top-line, but that had a little bit of an impact too. So, I think from a standpoint of -- is it a baseline number, I think that's a reasonable number to think about kind of what the business can do kind of without any of the other levers that we can pull. And then from there, we expect our ability to kind of continue to grow the top-line to kind of resume.
Thierry Wuilloud: So just so I understand, you switched some production to Vietnam and maybe there was a bit of delay there in getting some of that product over during the quarter?
Kevin Vassily: A combination of the Vietnam new supplier coming on and switching to some new suppliers within China as well.
Thierry Wuilloud: Okay. Over the last 15 months or so, you've announced three new promising channels: Temu, TikTok and the Alibaba affiliate. Any of those three we should really pay attention to, or you're still kind of just kind of equally at the beginning or equally attractive to you? I'm kind of wondering, if there's going to be a strong kind of second channel for you beyond your main partner.
Kevin Vassily: Lawrence, why don't you take this one?
Lawrence Tan: Yes. Sure. I think about the three, Temu has the best potential. The platform fits more of our product portfolio, and the marketing efforts they are putting together behind are probably the best and the strongest amount three of them so far. AliExpress is pretty new. We're still working with our team. We got some orders in already, but they're small, but still working with their teams to adjust and working with their internal policies and strategies to adjust. Now TikTok, the fate of TikTok wasn't clear now with the new administration. I think it has a much, much better hope to continue the business. But again, that Temu still fits out of our product portfolio better than the other two. So, if you want to put attention on one of the three, I’ll pick Temu two.
Thierry Wuilloud: Okay. That's helpful. Can you give us an update on SuperSuite? I think you were maybe in the low teens in terms of revenue percentage there in the previous quarter. Is that the right trajectory? Is -- what are your expectations for SuperSuite going forward?
Lawrence Tan: Sure. Kevin, do we -- can we disclose the percentage of sales or is that okay?
Kevin Vassily: Yes. Yes. Because we talked about that before.
Lawrence Tan: Yes. So, we SupreSuie today, accounts about 10% of our overall sales. The platform is a connector or central places to connect every aspect of successfully conducting the sales to the U.S. consumers, including online and in the future offline. Now, by saying that, we have logistic partners. We have, even though we didn't announce that publicly, we are testing two new logistic partners, that joined onboard. And we are having a partnership with Zyla, which is a subsidiary with Ant International, which will potentially lead, have supply chain financial financing products into SuperSuite platform, which enables -- which is another benefit for suppliers to work with. Now for the supplier supply chain side, our supply chain partners, we have made a pretty good progress as having them on board. But having the sales having, the supply chain on board is what I'm saying, having the sales to start to pick up, is you will see you start to see the settings growing, snowballing, like in usually in a three to six months period of time after the supplier chain, get on board. So, and we have a pipeline of them coming in, and we have partners that are helping growing the base of supply chains. And that platform, I'm pretty confident on its growth in the future, and that, I believe, will become the biggest growth driver in the future. And also having the supply chain partners onboard will help us in two things. One is it's going to further reduce our cash need for stocking inventories. Now secondly, it will help us to prepare for the potential incoming tariff increase, as we don't -- we are not responsible for importing or purchasing or maintaining the inventories in the United States. So that will help. Together with the efforts, we're getting manufacturers in other places other than China, and we are also researching and getting more potential partners in the United States. So, I think the SuperSuite is not just for supply chains. The outside U.S. is also for the U.S. brand and manufacturer supply chain as well. So, the SuperSuite supply platform is the main focus for me at least for the foreseeable future.
Thierry Wuilloud: You mentioned potentially upcoming increases in tariffs. I'm kind of wondering, how are you looking at the whole situation? How much of your, I mean, would you try to move a greater percentage of your production to Vietnam or I'm also kind of wondering what kind of lessons you learned from the last time around when tariffs were introduced and consumers' reaction, competitors' reaction, I mean, you just passed along the price increase and nothing much else happens, or how are you looking at the whole situation?
Lawrence Tan: Right, right. That's a great question. We have been preparing this for the last few years. Ever since that we had that impact of 25% increase, we started -- SuperSuite is one of the efforts. So, my view on this is that now we have the supply chain partners that we like not only just the ones that are working with us in the partnership, but also the ones that will manufacture for us and we buy their inventories. Everyone has some plans to for this particular event. So, in the worst case, I believe our suppliers and the manufacturers, some of them already have a plan to manufacture alternatively outside China. The ones that who evaluated that could not move out of China, everyone will face the same problem. And unfortunately, for those part of the product categories, since no other countries could produce as effectively, we have no choices but pass the cost to the consumers. Now in that case, doesn't mean, while the raising the price is not a good event to have, but end of the day, since everyone has to be forced to do that, it still comes down to, like, who can effectively sourcing, who can it be like more effectively doing the merchandising, marketing and then fulfillment for the sales. Now that part is we do pretty well. So, what I mean is that for the ones that could avoid a huge tariff, people will act on it. It's not just us. For the ones that -- there's no other countries can be substitutions to the China manufacturer. The price will increase, but it's going to be, like, whole market, activity. We are not -- well, end of the day, it will be the same. It's just everyone will raise the price. So, as long as we do our parts efficiently, effectively, and quick, and maintain a low inventory, and be flexible, I think that's the most important thing, to adapt to potential impact, and prepare, and be able to act quick, and have strong partners. Yes. I mean, change is always not always bad. It suffers when it rains, but that's the worst case. Maybe China will have a good talk with Trump. Who knows? But in case that doesn't talk well, you know, I think, our partners and ourselves, we all have certain we're much better prepared than four years ago.
Thierry Wuilloud: Okay, good. Maybe a last question for Kevin. We talked about the kind of the baseline for revenue, and I'm looking at gross margins over the last two or three quarters, and you've been in the mid- to high-40s. Is that also kind of a reasonable range going forward? I mean, that's a nice pickup from where you were 12, 18 months ago.
Kevin Vassily: Yes, I think so. What you're seeing in that uplift is a function of the work we did over the last, let's call it, year and half years with our supply chain, Vietnam move will help that. The move that I referenced with a little bit of this supply issue. That move was made with the intent on bringing kind of unit cost down as well. And so yes, we feel good about where gross margins are on that side. So yes, I think that should be the target. The one thing that could swing that is container costs. But right now, container costs are kind of behaving quite nicely. So, I would suggest people that are kind of looking at kind of the gross margin line to pay attention there. But the work that we can really control, I think we've set a higher bar now. So, I think we feel good about where gross kind of margins are and feel like that's a decent place for people to be kind of targeting for modeling.
Lawrence Tan: Right. And one more thing I want to add on to it. If our SuperSuite start to take off, then the gross margin, maybe you will see that lower because for the SuperSuite model, it's different than our traditional in-house product model where we buy and sell. So, you'll see a lot of expenses built in, in the purchase cost. So, but until then, I'll just give you more information.
Thierry Wuilloud: Great. That's helpful. Thank you very much.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Kevin Vassily for closing remarks.
Kevin Vassily: Okay. Thank you everyone for joining us on the call. We look forward to speaking with you again in the upcoming quarter. Have a good day. Bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.